Hanna-Maria Heikkinen: Good morning and welcome to this News Conference for Wärtsilä Q3 ‘24 Results. My name is Hanna-Maria Heikkinen, and I’m in charge of Investor Relations. Today, our CEO, Hakan Agnevall, will start with the group performance followed by the business performance, and then our CFO, Arjen Berends, will continue with the financial highlights. After the presentation, there is a possibility to ask questions. Please, Hakan, time to start.
Hakan Agnevall: Thank you, and welcome, everybody, and welcome to the summary of the Q3, which has been a good quarter and we are moving in the right direction. So let’s look at some of the numbers. I mean, we do see improved net sales, improved profitability and improved cash flow. Net sales increased by 18%, and we continued to have strong book-to-bill, and therefore, a strong order book of about €7.6 billion. Our journey for improved profitability continues to comparable operating results increased by 41%. Our strategy of moving up the service value ladder also continues, and we do see good progress in services as we go along. So service order intake is up with 4%, and service net sales increased by 6%. Strong cash flow, I will talk more about that, but we do continue to see a very strong cash flow, and in this quarter, from operating activities to – close to €300 million. Let’s look at the summary of the figures for the quarter. If we look at the order intake, up from – it’s pretty flat, but on organic level, we are up 4%, around €1.8 billion. We continued to grow in services, 4% growth, up to €874 million. On the equipment side, we are down 2%. That is primarily driven by storage. So €929 million, I will talk about storage later. Net sales up 18%, so from €1.4 billion, €1.5 billion up to €1.7 billion. And we continued to grow in services, €762 million to €800 million. But as we talked about before, second half year we will see strong growth on the new build side and on the equipment side and we see here up 32% from €690 million to €911 million. Strong book-to-bill, it continues a positive trend above 1. Result-wise, so comparable operating result is up 41% and from €125 million to €177 million. And we are now at 10.3% of net sales. And if we look at the operating results, we increased it by 65% and we are now at 11.2%. So if we look a little bit about the markets and our industries. In the Marine, the market sentiment continues to be positive for Wärtsilä in our key segments. And we do see an increase in demand for new ships in the third quarter. Looking at Clarksons, the number of vessels ordered in Q3 increased from 1,400 to about 1,900, 2,000 And despite the growth of shipyard capacity, especially in China, newbuild shipyard capacity utilization remains high and it indicates actually still a bit of a shortage on yard capacity. And also some very interesting number. I mean, global shipyard capacity is currently at around 70% of the 2011 peak level. And the forecast is that this could increase to 80%, 85% by 2030 and then major growth is expected to be in China, which is expected to account for about three quarters of this increase since 2021. On the alternative fuels, the positive trend continues. So, 486 orders for alternative fuel capable ships year-to-date and that accounts to 25% of old contracted vessels, but maybe even more importantly, around 50% of all the vessel capacities. Strong growth in demand and positive outlook in cruise has really driven the newbuild ordering. So a lot of activities in cruise, which, going forward, we expect will have a positive impact on Wärtsilä . And also container newbuild investments have increased in the recent month as ship owners continue to renew their aging fleets. Looking at Energy. We see solid long-term market opportunities. On the challenging side, rising protectionism and decreasing – rising protectionism is, of course, an obstacle going forward, whereas the decreasing inflation it acts favorable for our market situation in general. The macroeconomic development continued to be impacted by the protectionism and elevated risks in the geopolitical environment, creating uncertainty and also affects the speed of decision-making, slowing it down. If we look at the U.S., the IRA, the Inflation Reduction Act, has boosted the outlook for clean energy deployment in the U.S. while policies such as domestic content requirements and import tariffs hurt the outlook for the energy transition. So it’s a mixed picture. If we look at natural gas, global natural gas prices continued to increase, but moderately. The demand for balancing power has been strong in 2024 while demand has – while demand for baseload has been stable. So we do see a strong growth in balancing ‘24 compared to ‘23. In October, DNV’s energy transition outlook predicted a peak in energy-related emissions to have been reached actually this year. And coming back to AI and data centers, we do see interesting opportunities in this space going forward. Today, data centers account for about 1% to 2% and of the global electricity demand, but it is forecasted to basically double until 2026 and we do see strong interest here. Organic order intake increased by 4%, order intake increased by 1%, equipment order intake decreased by 2%, primarily driven by timing of energy storage orders. Service order intake increased by 4%. Looking at the order book. So we have a strong order book and the rolling book-to-bill continues above 1. I think it’s now the 14th quarter – consecutive quarter that we continue to have a book-to-bill above 1. Organic net sales increased by 21%. Net sales increased by 18%. Equipment net sales increased by 32% and service net sales increased by 6%. And as I said, this is a little bit what we indicated before during the second half year we would have strong sales in particular in equipment. We are growing in both, but equipment is growing fast. Profitability continues to improve, in line with what we have said. Net sales increased by 18%, so of course, we have support there. And the comparable operating results increased by 41%. And we are on a path to reach our financial targets of 12% EBITA. Looking at technology and partnerships. It’s all about enabling the decarbonization of Marine and Energy. So a landmark deal between Wärtsilä and Eidesvik Offshore pioneering the growth of ammonia in shipping. So we have signed a contract with the Norwegian ship owner, Eidesvik, to supply the equipment for the conversion of an offshore platform supply vessel to operate with ammonia fuel. And we will supply the engine, but also the complete fuel gas supply system and the exhaust after-treatment needed for the conversion. And the vessel, Viking Energy, is scheduled for conversion in early 2026 and is expected to start operating on ammonia in the first quarter of 2026, becoming the world’s first ammonia fuel in-service ship. And the order was booked by Wärtsilä in the third quarter. Another interesting example from the Energy space, we have signed an agreement with Aqualectra to support – continue to support Curaçao’s decarbonization with a new thermal power plant for balancing renewables. So we were again contracted by Aqualectra, which is Curaçao’s government owned utility company to provide an EPC contract for a 38-megawatt power plant capable of providing efficient grid balancing as the level of renewable energy in the system continues to increase. Earlier this year, Aqualectra placed an order with us for a battery storage system and also for GEMS Digital Platform. So now we are bringing it all together, the thermal, the energy storage and GEMS, to optimize the whole system. And the thermal order now was booked in the third quarter. So let’s look at the two businesses and how we are evolving. So in Marine, the good performance continues. Net sales and comparable operating results increased. Order intake, flat, yes, but you should remember last – in Q3 last year, we had some pretty big orders, especially on the ferry side. So the comparison is a challenging one. Underlying order intake, we see a lot of activities and have a positive outlook. On the net sales, net sales is up with 10%. And if you look at a continued journey of improved profitability, the major drivers in Q3 were the higher service volumes and the better operating leverage stemming from our higher volumes. If we look at our service business, we see good development in marine services. Marine net sales to agreement installations have been stable, around €500 million in Q3. And you see net sales to agreements installations, you can see it, it seems to be tapering off. But we have a positive outlook. You can see here the latest order intake, we have on the agreement side in was a Lifecycle Agreement that we signed with Royal Caribbean to help Royal to accelerate their sustainability goals. So we basically signed a 5-year Lifecycle Agreement with Royal covering 37 of their cruise ships. The agreement is designed to optimize the performance, reliability and availability of the ships’ engines. So, ensuring the highest level of operational efficiency. The contract covers both scheduled and unscheduled maintenance and includes also Wärtsilä Expert Insight services. This is built on a performance-based model. So it means that the gains resulting from best operation and maintenance practices will be shared by Royal and us, by Wärtsilä, further highlighting the collaborative efforts. And the order was not booked in Q3. It will be booked in Q4. So moving to Energy. Comparable operating results increased. Equipment orders and deliveries grew clearly in energy power plants. Yes, order intake is down 19%, but that is primarily driven by storage. If we look at the power plant side Q-on-Q, order intake is up 20%, even more. Net sales continues to increase, up 31%. And if we look at a very positive continued journey for Energy, the main drivers is, first of all, you will see on the next picture the continued improved profitability of our Energy Storage & Optimization business. Then in general, for a whole of Energy, higher service volumes and also here better operating leverage, stemming from the higher volumes, and I would also say from robust project execution. Now zooming in on storage. We see that the comparable operating result margin, it continues to improve. But of course, order intake in Q3 was not what we expected to be. However, we do see it will improve in Q4. It’s about periodization of certain big orders. The orders are getting bigger and bigger for us in Energy Storage. And when you have something sliding over a quarter, it will have a significant impact. So underlying, we are still very optimistic about the order intake for Energy Storage and the overall market sentiments are also very strong. If we look at services in Energy, so the agreement coverage in Energy continues to be strong. And here is one of the examples where we continued to strengthen our commitments to Zambia with O&M agreement renewal for the Ndola power plant. So basically, we signed a renewal of an operations and maintenance agreement covering the 107 – sorry, 105-megawatt power plant owned by the independent power producer, Ndola Energy Company in Zambia. The previous agreement has been enforced since 2013. So now it’s time to renew. And the plant operates 12 Wärtsilä 32 engines, 6, includes 2-stage turbocharging technologies. And this is – we continue also to have this high renewal rate, both for Marine and Energy on our service contracts. I mean, over 90% renewal rate. And you can also see that the megawatts – our share continues to improve. We are around 30%, and we talked about that we have opportunities to grow the percentage going forward. Now to sum it all up, the comparable operating results improved in basically all businesses, Marine, Energy and Portfolio Businesses. And you see the waterfall here from 8.6% to 10.3%, Marine improving from 10% to 10.4%, Energy from 8.4% to 10.5% and also Portfolio Business is going from 3.9% to 9%. And if we zoom in on Portfolio for a while, we said these are businesses we’re going to divest, but we want to turn them around and want to prepare them for divestments. And this is what we are doing you can clearly see it here. Comparable operating results once again increased by 41%. Now other financials. Arjen, please.
Arjen Berends: Thank you, Hakan. I’m very happy with this page. Actually, all the key performance indicators basically on this page, improved compared to Q3 last year. And actually, they also compare to Q2 this year, so good improvements basically on all the numbers that you see on this page. Operating cash flow was very strong if you compare it to last year. Main contribution came from improved profitability, while the contribution from changes in working capital was more or less on the same level. The good cash flow contributed clearly to further improvement on net debt as well as gearing, and an improved profitability supported the solvency ratio and as well as the EPS to further improve. Looking at the long-term trends. If you look at the left side, let’s say, operating cash flow on a rolling 12-month basis, we reached €1.16 billion now over the last one year, generated operating cash flow. So really, really happy with that. And if you look in the working capital-to-net sales ratio on the right side of the slide, the line is now landing at minus 8%. If you look at the 5-year average, let’s say, working capital-to-net sales ratio, it’s about 2%, as you can see from the dotted line in the graph. For reference, if we go on the 10-year average, it’s about 5%. This level of operating – actually, this level of working capital-to-sales ratio being negative, minus 8%, on a rolling 12-month basis, I keep saying it, it’s extraordinary. And we do expect this to normalize in the near term as well. With these words, back to you, Hakan, on the guidance.
Hakan Agnevall: Thank you, Arjen. Yes. And on the guidance, positive outlook for demand. We do see that the demand environment will be better for both Marine and Energy going forward, the coming 12 months. So underlying positive market outlook. Alright, time for Q&A.
Hanna-Maria Heikkinen: Thank you, Hakan. And thank you, Arjen. So now there’s time for Q&A. So let’s start with one question per analyst. So please leave the follow-up questions to the second round. Handing over to the operator, please.
Operator: The next question comes from Daniela Costa from Goldman Sachs. Please go ahead.
Daniela Costa: Hi, good morning. Thank you. So the topic I wanted to ask about is if you could give us a little bit more detail on storage. Just like looking at the orders to sales chart, look like you have a big gap this quarter. I guess, how much of the backlog have you used now? And how much you have left? And was it one-off, just one order that maybe got slightly delayed that you expect to receive in Q4? Is that where – what is behind it or more broad based?
Hakan Agnevall: So I mean, if you look at our order intake, and as I said, it’s a low order intake for Q3. But this is a project business. We are negotiating several contracts with several customers and sometimes these slides from one quarter to the other. But based on what we have in the pipe and what we are negotiating, we feel confident for Q4. So, and we do see a strong underlying demand. I think the storage business in general is developing in a positive way. You could see the improved profitability. I mean, we have had a focused strategy. We have been focusing on certain markets, U.S., Australia, U.K., a couple of other markets, and we are really focused on execution. And we can see it translating into financial results as well. So overall, yes, Q3 might look not good on the order intake side. But I think we have a very positive outlook.
Daniela Costa: Well, fully supports it.
Hanna-Maria Heikkinen: Thank you. I’ll go back into queue then.
Operator: The next question comes from Vivek Midha from Citi. Please go ahead.
Vivek Midha: Thanks very much for taking questions and good morning. My question is, again, on the storage business. It looks like the implied ASP in storage has roughly halved year-on-year. Clearly, there’s a large contribution of that from lithium prices. But over and above this, has there been any underlying pressure on pricing due to greater competition in new entrants? Thank you.
Hakan Agnevall: So basically – I mean, you’re perfectly right. The lithium prices are coming down quite significantly. I think they are down about 40% year-on-year or even more, I would say. First of all, if you look at the order backlog, we have locked that in. So it’s not affecting our current order backlog. If we look at new order intake, yes, we are – the orders we take in, we deliver more and more megawatt-hours for the same price. It doesn’t affect our margins. I mean, we still have the margins that we need to have. So that is also, I would say, the underlying fundamentals are in place. Competition, competition is increasing and I think this is also where our focused strategy serves us well. We talked about it before, you cannot look at the battery storage market as one unified market with one unified customer types. We clearly focus on customers that value our core propositions and they are delivering on time with the right quality, the execution skills, the thermal stability. So far, we haven’t had a thermal incident in our power plants. Our power system knowledge and our capability to integrate battery storage with different generating assets for highest uptime reliability, that’s a customer proposition that hits – it’s attractive for certain customer segments. There are other customer segments that are more CapEx focused. We continue to focus on our core segments. And I think we are using our key competitive advantages for – in that segment, so to say.
Vivek Midha: Thank you.
Operator: The next question comes from Max Yates from Morgan Stanley. Please go ahead.
Max Yates: Hi, thank you. Good morning. Just my first one, my only question is just on the Marine margins. So if I look at the margins, that’s come down by about 100 basis points quarter-on-quarter. But if I look at the mix of the business, equipment and service, it hasn’t really changed that much since the second quarter. And obviously, part of what you’ve talked about, implied weaker margins in the second half, has been driven by mix. So I guess my question is, should we expect as mix gets worse from here that we see another kind of sizable or meaningful 100-bps sequential margin step-down in the second – in the third – in the fourth quarter? And could you maybe talk about if it wasn’t obviously a big change in mix, what really drove the sequential margin weakness in Marine? So yes, the sequential trends in the Marine margins and then also how to think about the fourth quarter because I assume that should get materially worse with worst mix?
Arjen Berends: Of course, there is more than just mix between equipment and services. Let’s say, also within equipment, you have a mix in projects. Let’s say, not all projects are the same margins, depends on what segments are you operating as well as in the service, let’s say, business itself, you have basically different margin levels between spare parts, field service agreements and projects. So there is mix and mix, and I think this has a quite significant impact in the numbers as we see them today. And as we have guided also before, we see similar trend happening also in Q4. So this all-time high EBIT margins that we have always seen in Q4, we don’t anticipate that to see this year to the same level at least.
Hakan Agnevall: And then to complement, Arjen.
Max Yates: Can, I just…
Hakan Agnevall: Sorry, if I just may complement Arjen. And of course, we are not guiding specifically for Q4. But as we talked about, we do see a continued journey to reach our financial targets.
Arjen Berends: Absolutely. Very positive about that.
Max Yates: Could I just clarify what you’re really trying to say with this guidance? I mean, if we really simplify, are you saying there is a reasonable probability that margins will be below the third quarter in the fourth quarter or should we compare it to the first 9 months? I’m just really trying to – like I realize you don’t want to guide explicitly, but just in plain English, what is it you’re trying to actually guide to?
Arjen Berends: I will not guide you on that question. Let’s say, we have said and we said it already at the end of Q2 that the second half of the year from an EBIT percentage point of view will not see the same, let’s say, hockey stick effect as we have used to see in Wärtsilä in Q4. And the second half is, therefore, let’s say, EBIT margin-wise expected to be on a lower level than what we saw in the first half, which was 10.7%. And that still holds.
Max Yates: So you’ve evolved that message today with what you wrote in the fourth quarter. So you’re trying to tell us something. I’m just not entirely sure what it is you’re trying to tell us.
Arjen Berends: I’m not sure if I get your question now, sorry.
Max Yates: Well, in the text, you’ve made a comment about 4Q seasonality. You’ve deliberately put it in there. Is it what you’re trying to tell us that we should look at 3Q margins and you’re trying to tell us that fourth quarter should be worse? Is that what that deliberate comment in the outlook statement is trying to tell us?
Arjen Berends: No.
Max Yates: Or I am just really trying to kind of interpret what that message really is trying to get at.
Arjen Berends: The message has been that, let’s say, Q4 traditionally or historically in Wärtsilä has for many years been the highest percentage. That’s not likely to happen this year. That’s the message.
Hakan Agnevall: And if you look at the specific wording, it’s actually exactly the same as from previous quarter. I think we added the text there to – about that, of course, in the Q4 and on newbuild deliveries, we always know that things can slide a little bit. But otherwise, the text is exactly the same as in Q2.
Max Yates: Okay, understood. Thank you.
Operator: The next question comes from Sebastian Kuenne from RBC. Please go ahead.
Sebastian Kuenne: Yeah. Hi. Thank you for taking my question. My question relates to energy storage. You mentioned that in the U.S. because of regulation, there is a big focus on local content. Maybe you can elaborate a little bit how this affects you, whether you’re getting squeezed out of tenders there and what your strategy is for the North American market, especially given that data centers is such a big or important business currently for the U.S. So I just want to get a bit of an idea of what your strategy is for North America and whether you’re really impacted by that local content regulation? Thank you.
Hakan Agnevall: So if we look at storage and then data centers, so energy storage, yes, local content requirements and import duties will certainly go up in 2026. So considering that you need to have a diversified supply chain and this is something that we are working on. It’s not holding us back. It doesn’t have an immediate impact on our order intake, just to clarify that. But it’s something that we are working on in a structured base. You need to have a diversified supply chain, including having suppliers in the U.S. So this is an ongoing process. On the data center, I don’t see any immediate impact from localization requirements. I think we see a lot of interest as the data center market is transforming. And if you go a couple of years back, data centers maybe had a power requirement of around 10, 20, 30 megawatts. It was easier to get access to the grid through a utility. But now as we talk about data centers requiring 50, 60, 100, 200, 300 megawatts, the grid cannot support this additional load. And then you actually move the whole business into type of a baseload industry, so to say. And this is where we see potential. We talked about it before. In Europe, we have our first orders. We see a market evolving in the U.S. as well, but it’s still early stage.
Sebastian Kuenne: Thank you very much. I’ll be right in line with my second question. Thank you.
Operator: The next question comes from Vlad Sergievskiy from Barclays. Please go ahead.
Vlad Sergievskiy: Yes. Thanks very much for taking my question. I will also ask on storage. Today, it’s a year since you have started the strategic review. Now 12 months later, would you be able to share with us at least interim findings of this review? The business, as you show on Slide 16, started to decline at least tactically here. But operating margins, on my calculations, are in high single digits over the past two quarters despite relatively limited operating leverage compared to history. Do you think those high single-digit margins in storage are sustainable over the medium term with volumes, what you have today? Thank you very much.
Hakan Agnevall: So the general answer – I mean, first of all, strategic review. Strategic has now been ongoing for a year. I mean, we started in October last year. It’s still the same narrative. We are looking at how the best way to create value for customers, for shareholders. We are looking into different ownership alternatives. And we want to do a thorough job. The job is still ongoing. We clearly understand that there is a lot of interest from external stakeholders, but I would also say from internal stakeholders what are the results. But I’d say we will come back when we are ready with the analysis. We are putting a lot of time and effort into it, but we are not ready to come back with our decision yet. So the study is still ongoing. When we see the development, the continued development of the storage business, as we said before, we continue to invest in it. We continue to build it. We do see significant growth opportunities. We do see a journey to continued improved profit margin. We have not provided the guidance where we think we can take this, but we are now at around 4%, a 12-month rolling. And we do think that the journey of improved profitability can continue.
Operator: The next question comes from Antti Kansanen from SEB. Please go ahead.
Antti Kansanen: Yes, thanks. I wanted to follow up on the previous question on the Marine segment’s profitability, and to be fair, I had expected a bit more in terms of earnings leverage year-over-year despite a bit of a weaker sales mix. So I guess my question is that why are the margins on the Marine side similar as Energy despite quite a big difference on sales mix, I mean size of the service business? And what is kind of really driving that equipment margin volatility that you are referring to? Is it the different product groups? It’s the timing of the projects? And is there a kind of a meaningful difference how you allocate the shared manufacturing fixed cost between the two segments? Just trying to understand kind of the different margin trends on the two segments?
Arjen Berends: I can answer that. Let’s say – I would say, how – of course, as you know, let’s say, the manufacturing, as we are organized in Wärtsilä is owned by Marine, the same actually goes for the R&D and then they provide services to Energy on both ends, basically. And – of course, it’s always challenging to exactly say, okay, this much is for Energy and that much is for, let’s say, Marine when it comes to absorption differences or the likes. But I do believe that, let’s say, we do it as good and as accurate as we possibly can. A lot of improvements have made here over the past as well, and of course, simplifying the whole structure, having only one location now in Vaasa supports that as well. So I would say that’s a fair split. It’s not, let’s say, doing anything special, so to say, to benefit one versus the other. It’s a fair split. We also want to know it ourselves because the better you know the profitability of each business, the more accurate it, the better you can steer it also to better levels. So fair split.
Hakan Agnevall: And really about how we should interpret the margin variations. I think it’s coming back, and I think – Arjen touched upon, it’s really about mix, mix in the newbuild segments, mix in the service segments. Yes. I think this is as detailed as we will go, also complementing the overall trend is positive.
Arjen Berends: Correct.
Antti Kansanen: Alright. Thank you.
Operator: The next question comes from Sven Weier from UBS. Please go ahead.
Sven Weier: Yes, good morning. Also just a follow-up on Storage again, I’m sorry for that. But I still want to understand what has been delaying the customer decisions in terms of the order intake. Is it ahead of the U.S. elections that makes them wait? Or have you received some of the orders in the meantime in Q4 and corresponding to that because of the review you do for the storage business? I mean, one side of the equation could be to find a buyer for this. And is this U.S. election uncertainty may be also delaying the whole process. Thank you.
Hakan Agnevall: No, thank you, Sven. Now I can say it’s not related to the elections or uncertainties around strategic review. It’s the good, old kind of negotiations that you have in any type of commercial relations. I mean, you have a lot of terms and conditions to settle, et cetera, et cetera. So I would say, it is the ordinary pace of the business. It’s not related to elections or anything else.
Antti Kansanen: And that’s also true for the strategic review that this is not an impact or?
Hakan Agnevall: Yes. I mean there is no strong connection between the outcome of the U.S. election and the strategic review.
Antti Kansanen: And could you confirm, because you sounded very confident on getting the orders in Q4. I mean, does it mean you have already received some by now or that’s still pending?
Hakan Agnevall: We can only announce orders when we have them signed, etcetera. So, we will not make any order announcement. But as I said, we have a solid pipeline and we are confident that we will get there.
Antti Kansanen: Okay. Thanks. I will get back with another one later. Thank you.
Operator: The next question comes from John Kim from Deutsche Bank. Please go ahead.
John Kim: Hi. Good morning. I am wondering if we could go back to marine for a second. When we think about the backlog, particularly what you are going to deliver in, call it, the next 12 months, are there noticeable mix effects on the equipment and/or the service side that we should think about when we think about margins on a go-forward basis? Thanks.
Arjen Berends: Sorry. There is always mix effect when you compare, let’s say, quarters-to-quarters or year-to-years, it’s never the same. So, in that respect, I can say that the answer is yes. I will, of course, not open up, let’s say, what’s the mix effect going to be.
Hakan Agnevall: More than we are saying that underlying trend is positive.
Arjen Berends: Yes, exactly.
John Kim: So, operational leverage should offset potentially any negative mix. Is that a fair read-through?
Hakan Agnevall: No, it’s your interpretation. I mean do also consider what we are talking about when we talk about – our growth in marine is fueled by two major streams. One is the growth of our core segments, so cruise. Cruise is extremely strong now. Offshore, a lot of activity, still a lot of service activities. Newbuild is still to pick up, but it’s expected to pick up. LNG carriers are a little bit slower right now. Let’s see how it evolves and containers is actually coming back. So, if you look at some of our core segments and then you know the segments, and I am sure you have your hypothesis around the profitability around those segments, I will not go into those details, think about that. And then the second driver is the decarbonization transformation, where we have said that with new technology, like in all industries, you have a better price realization, at least as a technology leader, so to say.
Arjen Berends: But answering your question, let’s say, of course, with growing volumes, you have, of course operating leverage, that’s clear. And that we also expect to see in our businesses if volume grows, clearly.
John Kim: Okay. Thank you.
Operator: The next question comes from Panu Laitinmäki from Danske Bank. Please go ahead.
Panu Laitinmäki: Hi. Thank you. I just wanted to ask about storage margins. So, can you confirm our calculations that it was high-single digits or around 8% in Q3? And what has driven that improvement in the margins in that business?
Hakan Agnevall: So, I mean you see in the outcome we don’t give any guidance for where we expect the margin to be. We only say that we will continue the improvement. And where is the – I mean the improved profitability coming from, I would say major source is the discipline, both around what type of orders we take in, but also in the project execution. I mean we have a good team. We are executing the project to the benefit of our customers on-time, but also keeping our costs under control. So, it’s solid, I would say, execution excellence.
Arjen Berends: I think our focused approach in the past – sorry, our focused approach in the past on order intake looking at really, let’s say, the orders that we want to take and that we are also feeling very confident about that we can deliver them according to technical specification, according on the right times as customer requires them. I think that pays back now, actually, and that we can see in the margins, clearly.
Panu Laitinmäki: Okay. If I just may, like do you see Q3 run rate as a sustainable level, or was there something exceptional in Q3 that everything went very well?
Hakan Agnevall: As we see, I mean we have a positive outlook and we do see a continuous improvement.
Panu Laitinmäki: Okay. Thanks.
Operator: The next question comes from Erkki Vesola from Inderes. Please go ahead.
Erkki Vesola: Yes. Hi Hakan and Arjen. Regarding the lead times in marine engines and lack of shipyard capacity, if a customer orders an engine now, when will it actually be delivered? And linked to that, as a reminder, on average, how much before the ship is delivered from the shipyard to a customer do you usually get the engine order, just the timing dynamics.
Arjen Berends: I think – okay, if you order an engine now and how fast you can get it, I think you can get it pretty fast. I think let’s say, the production capacity and our supply chain is not a bottleneck. But of course, let’s say, the vessels that are in the shipyard order books, as Hakan mentioned and showed on the slide as well, let’s say, the shipyard capacity is limited and that also creates that, yes. Engine orders are typically, let’s say, longer, how do you get, let’s say, contracted to us basically than what we used to see. Earlier, we saw typically, let’s say, 12 months in advance. Now, we see more like, let’s say, 12 months, 18 months in advance, so it’s moving a little bit longer forward.
Hakan Agnevall: But that is not related to our own capacity. This is how our engine fits into the overall time schedule of the build of the whole vessel.
Arjen Berends: Correct.
Erkki Vesola: And would you say anything about how large a chunk of your marine engine backlog is or will be delivered in ‘26 and after that?
Arjen Berends: No, we are not opening up.
Hakan Agnevall: No. You can see – in the slides, you can see the overall for the whole company, but we are not going into the respective business for competitive reasons.
Arjen Berends: Order book this year and next year and the years after, yes.
Erkki Vesola: Okay. I will get back to you on. Thanks.
Operator: The next question comes from Tomi Railo from DNB. Please go ahead.
Tomi Railo: Hi Hakan, Arjen and Hanna. Tomi here from DNB. Question on the thermal orders, which were pretty solid, around €200 million in the quarter, would you have a similar confidence to say that you would expect also those orders to improve in the fourth quarter compared to third quarter?
Hakan Agnevall: So, Tomi, you know as well, we don’t provide guidance per quarter. I only say that the underlying trend is positive. Of course, this is a lumpy project business, so it can vary. I don’t make any statements about Q4, but I can just say that the underlying trend is positive.
Arjen Berends: And we have a solid pipeline as well.
Hakan Agnevall: Yes.
Tomi Railo: Okay.
Operator: The next question comes from Akash Gupta from JPMorgan. Please go ahead.
Akash Gupta: Yes. Hi. Good morning everyone. I have a question regarding your order book delivery schedules. So, when I look at your deliveries in current years, we have only slight uptick in the backlog you have for this year. But then when I look at the consensus revenue expectations, we have like 20% increase in revenue expectations. So, maybe if you can help us reconcile is there anything that consensus is missing on the revenue side or has there been any deferrals from this year to next year in delivery schedule because when we look at your next year delivery schedule, you have quite a large gap there versus what backlog you had last year, so any commentary on your Q4 order book. Thank you.
Arjen Berends: No, we are not commenting on consensus. Let’s say, we are providing, let’s say, guidance on order intake. And order intake with, of course let’s say, the assumptions that analysts make converts to, let’s say, sales in a certain year. Of course, the order book is a fixed one. That’s a given. That part we have. But how much will come in addition, let’s say, that converts into deliveries next year, I think that I leave to your, let’s say, assumptions to identify that. We guide positively. Let’s say we have an outlook for better in both end markets. We see a growing trend in book-to-bill ratio all the time. So, we are very confident that, let’s say, we see growth also in the future.
Akash Gupta: Maybe I phrased my questions differently then. So, if you look at last couple of years, when we look at your backlog in the slide and actual revenues in Q4, we had delta of like a couple of hundred million euros. Are there any reasons to be different this time around? Thank you.
Arjen Berends: I don’t have now in my head, let’s say, what happened in old, in quarter four compared to that particular statistics. So, honestly, I cannot answer that.
Hakan Agnevall: I think what we have said, and it’s nothing new, second quarter will be high level of equipment deliveries. This is what we have said. We are not guiding for Q4. And once again – and this is, clearly, we understand it’s a challenge. But we are a project business, and we are a bit lumpy. And therefore, it’s very hard to guide on specifics on the quarter.
Arjen Berends: And looking at the existing order book, there is always, let’s say, in for our part that even happens within the quarter, in particular, on sales. And you also see every year, at least in all my 30-year-plus in Wärtsilä, we see every year at the year-end, let’s say, orders slipping to next year. But we also see it the other way around, orders that were planned to be delivered in January, they are delivered earlier. So, it’s never exact, but it’s ballpark close, I would say.
Akash Gupta: Thank you. I think I will go back in the queue now.
Operator: The next question comes from Sean McLoughlin from HSBC. Please go ahead.
Sean McLoughlin: Good morning. A question on your portfolio business, you have seen strength here both on demand and on margins. So, firstly, is this sustainable? You talk about gas solutions and marine electrical. What are you seeing across other segments, automation, navigation, voyage and so forth? And I guess how is better demand and profitability changing your thinking on how you structure and whether you keep these businesses going forward? Thank you.
Hakan Agnevall: So, I mean the direction is still clear. We are going to divest these businesses. So, we are not reconsidering. We will divest. And as we said before, I mean we want to do this in a sensible way. We want to find the right owners, and we want to have the right value opportunity for us as Wärtsilä. And to create the value, we have several of these, like gas solutions, have been not profitable and we are turning it around. And we are in different stages of our divestment process for each of these four assets. They are clearly for sale and it will take a couple of years to execute this. But it’s clearly what we are going to do going forward.
Arjen Berends: And we are of course very happy with the profit improvement because that clearly supports us in the divestment process as well. And of course, it can vary a lot, let’s say, one quarter to the other. This quarter, for example, we had a very good service business in the portfolio businesses.
Sean McLoughlin: Very clear. Thanks.
Operator: The next question comes from Tom Skogman from Carnegie. Please un-mute your microphone.
Tom Skogman: Yes. Hello. This is Tom from Carnegie. I would like to understand your margins a bit better, not just for this quarter. So, for instance, is the order book margin now after several years of great demand, clearly better than what you have delivered year-to-date? And then when I look at your margin compared to other engineering companies, I mean I don’t really see any reason why your service margin should be worse than most have, at least around 20%. But that will give you really low margins in the equipment business. So, what is kind of – is the service margin weak because of a lot of modernization projects and volatility, or is it still that the equipment margin is really low?
Arjen Berends: We are not going to comment on the margins in order book. We are not guiding like that. Of course, we are all the time aiming to improve margins going forward. And I think we are doing quite well in that respect. But to open it up in detailed level, we will not do.
Hakan Agnevall: No. And we don’t guide on margin on service respective newbuilds. I mean we have said, and for sure, the margin on services is better. Then I think – and you can see this in the waterfalls here, I think you can see clear evidence of that we are improving our execution skills. I mean we have the volume leverage, but we also, I would say, both in marine, are improving the way we operate. We have also made structural changes like Trieste in closing the manufacturing and centralizing the European footprint to Vaasa. So, we are taking many steps to improve our competitiveness, I would say.
Tom Skogman: Perhaps rephrasing a bit, I mean the other companies now report their service margins. Basically all of them signal what it is, close to 20% or so. And is there something that kind of means that you could not have a 20% or 20%-plus margin in services, is it so competitive with pirate parts and so many modernization projects where the competition is tougher or is it just kind of a thing that you can fix basically then.
Hakan Agnevall: So, I would say we don’t break out the margins and we don’t want to do that for competitive reasons and for a number of reasons. To your specific questions on pirates, yes, there are pirates. But I think we have coming out of COVID going forward, we have really strengthened our position on the spare parts market because through COVID and also after we have been showing that we are reliable. We are there. And also our strategy of moving up the service value ladder means that customers that before might have only kind of transacted with us on spare part business, they are now starting to move into their first agreements, etcetera, so moving up the service value ladder. And that really supports our service business going forward.
Arjen Berends: And with engines getting more complex and agreement coverage getting better, the impact of piracy, if you want to call it like that, is getting less and less. That’s clearly in our favor.
Tom Skogman: But then on the modernization side, would you say that your type of modernization projects are more complex with lower margins than in many other engineering companies or is that a broad understanding?
Arjen Berends: We are not going to comment that.
Hakan Agnevall: We can’t comment on that. I mean I think we are growing services. We are growing in a profitable way. I mean one areas – I mean when we talk about the digital toolbox, we see great application examples of applying digital in the service side. And we have many examples of that, both externally, which has enabled us to do the kind of the performance-based contracts. We are unique in the industry by providing some performance-based contract. But we also see this in our internal efficiency, so to say. So, I think we are certainly not perfect, but we are step-by-step improving our efficiency also on the service side.
Tom Skogman: Okay. Thank you.
Hanna-Maria Heikkinen: Thank you, Tom. Then we have a couple of questions from the chat. We will continue with the service team. Our energy service order intake, growth has been slowing and been negative on a year-on-year basis in recent quarters, including Q3. Could you talk a bit around the market dynamics here, and what do you expect going forward, should we assume continued declines ahead?
Hakan Agnevall: So, on the energy services, I think if you – first, if you do the Q-on-Q comparison, in Q3 last year, there were a couple of big retrofit projects. And they saw these big retrofit projects, they come when they come. So, comparing Q-on-Q, we look a bit flat. There is also, if you look at the megawatts that we have on the agreement, you saw the curve was flattening out, but that is also related to that, we have ongoing negotiations with renewals. It’s just that they didn’t – we didn’t manage to get them into Q3. They will hopefully come in Q4. So, what I am trying to say here, the underlying trend is positive.
Arjen Berends: We are definitely positive. And then I think even a better parameter to look at this is book-to-bill ratio. If you look at the book-to-bill ratio for energy services, it has been over one for a long time already. So, that’s the real proof in my view on, let’s say, continued growth. Of course, it can fluctuate quarter-on-quarter comparisons, but the underlying trend is positive and moving up the service value ladder, as Hakan was reflecting upon, is clearly working.
Hanna-Maria Heikkinen: Then a product-specific question, what future do you see for scrubbers?
Hakan Agnevall: So, I think that the – I mean we are very much looking at scrubber 2.0 where the next step is to go for the carbon capture. I mean the scrubber, the basic technology, basically enabling customers to use heavy fuel, it’s still there. There is still business cases. And there is one way of looking forward on the decarbonization story of marine is to evolve the scrubbers to carbon capture and then still being able to use heavy fuel oils even in a regulatory context, where your year-on-year needs to decrease your carbon emission footprint. Now, of course, and we are investing, as you know, in carbon capture and it’s our extension of the scrubber business. We are selling and delivering scrubbers that are enabled for carbon capture and we are having our first pilot installations. We will have a commercial launch of carbon capture next year. The key thing is that it’s a whole ecosystem that needs to evolve. We provide one part, which is to scrub out the CO2. But then the ecosystem needs to evolve about store it, are we going to pump it back in a well, are we going to use it for producing synthetic fuel, this whole ecosystem still needs to evolve, and it’s at a very early stage, I would say.
Hanna-Maria Heikkinen: Thank you, Hakan. Thank you, Arjen. Thank you for all of the good questions. Before closing this call, I would like to remind you of a couple of upcoming Investor Relations event. So, we will host the CEO Strategy Call and also a theme called, Focusing on Energy Power Plants, in December and then Pre-silent Call together with Arjen in January. Thank you.
Hakan Agnevall: Thank you very much.
Arjen Berends: Thank you very much.